Operator: Welcome to the Korn Ferry Third Quarter FY '17 Conference Call. [Operator Instructions]. As a reminder this conference is being recorded for replay purposes. We have also made available in the investor relations section of our website at kornferry.com a copy of the financial presentation that we will be reviewing with you today. Before I turn the call over to your host, Mr. Gary Burnison, let me first read a cautionary statement to investors. Certain statements made in the call today such as those relating to future performance, plans, goals, constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although the Company believes the expectations reflected in such forward-looking statements are based on reasonable assumptions, investors are cautioned to not place undue reliance on such statements. Actual results in future periods may differ materially from those currently expected or desired because of a number of risks and uncertainties which are beyond the Company's control. Additional information concerning such risks and uncertainties can be found in the release related to this presentation in the Company's annual report for FY '16 and in other periodic reports filed by the Company with the SEC. Also, some of the comments today may reference non-GAAP financial measures such as adjusted fee revenue, constant currency amounts, EBITDA and adjusted EBITDA. Additional information concerning these measures, including reconciliations to the most directly comparable GAAP financial measures, is contained in the financial presentation and earnings release related to this call. Both of which are posted in the investor relations section of the company website, www.kornferry.com. With that, I'll turn the call over to Mr. Burnison. Please go ahead, Mr. Burnison. 
Gary Burnison: Okay, thank you David. Hello everybody and thank you for joining us. With me to date is Bob Rozek and Gregg Kvochak. Let me talk about the results for the quarter. They were exactly in line with what we had guided to you back in December. Fee revenue was about $382 million which was up 11% year-over-year, that's at constant currency and obviously that was benefited by the Hay Group acquisition that we did a year ago. Profitability was also very strong with adjusted EBITDA of $55 million and that was up about 16% from the prior year. Hay Group had a good quarter with $176 million of revenue and very good profitability. Our adjusted EBITDA margin in that business was about 17% and remember, this is always a seasonal quarter for us. Futurestep had another strong performance. The topline growth was 12% in constant currency and in fact, we had our best quarter ever in terms of new business in Futurestep. In Hay Group's new business, by the way, trailing three months over a year ago, that is also up about 7%, 8%, 9%, something like that. Our search business generated $153 million of revenue and that was driven by constant currency growth of about 20% in Europe and 11% in Asia. We also continued our commitment to you, our shareholders, by returning capital in the form of dividends and stock buybacks. So far, over the last couple of quarters, we've repurchased about $21 million of stock which is about 1.6% of our outstanding shares. If I could, if I could just maybe tap Google Earth for a second. Over the last 18 months there has been a lot of change in our firm. I think the company has been transformed from really, a substantially oriented model line business to a global management consulting firm. Revenue is up 43%, adjusted EBITDA is up 33% and annual run rate EBITDA has increased by at least $60 million. And you know, our workforce has changed dramatically. 55% of the company today are millennials, 70% of our colleagues are outside the United States and 61% are female and finally, our capabilities have been enriched substantially. So when I rewind the clock to the Hay Group combination which was just 14 months ago, back then I really looked at kind of the integration as creating a unified whole in really three stages. What we had to do, what we must do and what we want to do. And I would say that the results and the transformation over the last 14 months or so that I talked about largely are in the first two phases. Namely we unified our solutions for scale, we have combined our IP, we're reimagining a new firm and culture. And also pursuing the synergies that we've committed to you, our shareholders. But now we have to finish the second phase and really begin the third phase. And what I mean by that, is we've got to move now from a geographic in line of business orientation towards industries and solutions. Particularly those that drive business outcomes for our clients. I think that is number one and number two, we have to continue to evolve our new culture for our own organization. So as I talk about this third phase and I think about the strategic growth initiatives, there are five or so that I wanted to kind of highlight. Number one is leadership development. Believe it or not, arguably we're the biggest provider of leadership development training in the world. About 700 of our colleagues do work in this area every single day. For us it represents about $160 million in annual revenue, it's a large, it's a growing market. And what we're doing today is currently combining our IP from our legacy firms to create offerings that we can deliver at scale, with the focus on doubling the business. The second growth initiative I would I'd say is rewards and benefits. It is another large market for us, today it represents about $160 million in revenue, again is about 10% of the firm. And it is a market where we have permission and established brand to engage and the opportunities there are significant. So I'm sure you've seen, we're not only increasing talent and developing talent in this area, but we're also looking to see how we can wrap the reward and benefit solutions around, say, our recruiting activities. Third, our products business is about $230 million to $250 million of revenue today. This business has the potential to really scale, it has to be an enterprisewide initiative for us. We need to be focused on how we can bundle and how we can integrate these product offerings with the other things that we do for clients. And this should be a business where we have to be thinking about 2X, 3X, the size that it currently is today. Fourth is marquee accounts. Accounts where we have a real strong opportunity to scale. We're continuing to develop account leaders to ensure that we're bringing the full weight of the firm to clients, garnering a larger share of spend and delivering multi-business line relationships. And finally is healthcare, today it's about 7%, 8% of the firm. It is a market that undoubtedly is going to go through rapid change again and it offers substantial growth for what we offer. We have continued over the last quarter to make investments into that area, including dedicated hiring of healthcare specialists. And what we're doing right now is taking our IP and solutions and tailoring them specific to healthcare. That's all based on our IP. So, good quarter, in line with what we had talked about last December when we gave the guidance and so now, I'm going to turn it over to Bob. Bob? 
Bob Rozek: Great. Thanks Gary and good afternoon, everyone. I'm going to start with a few key highlights. First, as expected, our fee revenue in the third quarter reflected our normal seasonal pattern. Globally at actual exchange rates, free revenue in the quarter was in line with our guidance at about $382 million and that's a year-over-year improvement of 9% on our adjusted fee revenue and as Gary indicated, when measured at constant currency, it's an improvement of 11%. Fee revenue growth in the third quarter was strongest for EMEA in Asia-Pac executive search which grew 20% and 11% respectively. Futurestep also continued to grow in the third quarter with $53.4 million fee revenue which is up about 12% at constant currency. Second, our year-over-year earnings to trend also improved. Even with seasonally slower fee revenue, our consolidated adjusted EBITDA in the third quarter reached $55.3 million and that is an improvement of about $7.5 million or nearly 16% compared to Q3 of FY '16. And finally, in the third quarter we continue to take a balanced approach to allocating capital. We paid our normal quarterly dividend of about $6 million and continued to repurchase our shares. Over the last two quarters we have now repurchased approximately 893,000 shares in at an average price of $23.78. As Gary indicated, it's about 1.6% of our outstanding fully diluted share base. And right now we have about $128 million remaining on our board approved share repurchase authorization. As I look at the new business trends, let me start with executive search, globally our monthly new business trends in the third quarter were negatively impacted by both pre-election on certainty and then we had the normal year-end holiday seasonality. As we talked about in our last earnings call prior to the U.S. election, we saw a weaker than normal October and that was followed by slow first half of November. Our new orders strengthened in the second half of November and were, as we expected, seasonally softer in December and then we saw them surge higher in the month of January. This trend was especially true in North American region, where new orders in November December combined were down 5% year-over-year, but then we saw in January a nearly 4% growth on a year-over-year basis. A spike in the number of newly confirmed executive search assignments in January will provide us with a solid backlog as we enter into the fourth quarter. Similar to executive search, new business in the third quarter for Hay Group was seasonally slower at $175 million and that is also reflective of a stronger performance period post-election. And then for the month of December and January, on a combined basis, Hay Group's new orders were up 9% year-over-year. And then finally, Futurestep's new business continued to surge in the third quarter, reaching $104 million which was an all-time high. And of this amount, approximately $83 million came from RPO wins and that is on the heels of $74 million in the second quarter of this fiscal year in RPO wins. At the end of the third quarter, our total cash and marketable securities were $467 million. And when you exclude amounts reserved for the deferred comp and for accrued bonuses, our investable cash balance at the end of the third quarter was approximately $227 million and that's up about $146 million year-over-year and up about $72 million compared to the second quarter. As we ended the third quarter, our outstanding debt balance was about $261 million. And then finally our adjusted diluted earnings per share were $0.53 in the third quarter and that is up 1% to 2% compared to third quarter of FY '16. And on a GAAP basis, our fully diluted earnings per share for the quarter were $0.42. Let me turn it back over to Gregg to review our operating segments in a little bit more detail. 
Gregg Kvochak: Okay, thanks Bob. Let's start with our executive recruitment segment. At actual exchange rates, consolidated fee revenue in the third quarter for our executive recruitment segment was $152.8 million, down $1.8 million year over year. When adjusted to a constant currency basis of measurement, consolidated fee revenue in the third quarter for our executive recruitment segment was up approximately $1.4 million year-over-year and essentially flat sequentially. Regionally, growth rates in the third quarter were mixed, with strong growth in international markets offsetting softness in North America. Compared year-over-year at constant currency, North America was down 9%, while Europe was up 20% and the Asia-Pacific region was up 11%. Fee revenue growth for our global specialty practices was also mixed in the third quarter. Compared to the third quarter a year ago, growth in our industrial practice up 14% and financial services practice up 7% was offset by slower demand in our life sciences and healthcare technology and consumer goods practices which were down 5%, 6% and 7% respectively. The total number of dedicated executive recruitment consultants worldwide at the end of the third quarter was 507, up 15 year-over-year and six sequentially. Annualized fee revenue production per consultant in the second quarter was $1.21 million. And the number of new search assignments opened worldwide in the third quarter was 1453 which was up approximately 11% year-over-year. Consolidated executive search adjusted EBITDA in the third quarter was $32.6 million which was down $10.3 million compared to the third quarter of FY '16. This drop in adjusted EBITDA was due both to lower fee revenue in North America and higher compensation expense which was primarily driven by greater market returns in the quarter on the financial assets backing the firm's deferred compensation plans, most of which affects the North American executive search segment. The consolidated executive search adjusted EBITDA margin in the third quarter of FY '17 was 21.3%, compared to 27.7% in the third quarter FY '16. Now turning to the Hay Group segment which in the third quarter of FY '17 completed its fourth full quarter of integrated operations. Due primarily to time off during the year-end holidays, fee revenue for the Hay Group segment was seasonally slower in the third quarter at $175.7 million. As previously mentioned, new business activity for the Hay Group post-election in December and January combined improved and was up approximately 9% year-over-year, providing a solid backlog for the fiscal fourth quarter. Additionally profitability of the Hay Group remains strong in the third quarter. In the third quarter of FY '17, the Hay Group achieved $30.1 million of adjusted EBITDA, with an adjusted EBITDA margin of 17.1%. A year-over-year improvement of $7.2 million, with a 150 basis point improvement in margin. Finally, turning to Futurestep which continues to be our fastest-growing segment. In the third quarter Futurestep generated $53.4 million of fee revenue which measured at constant currency was up 12% year over year. Despite seasonally slower fee revenue in the quarter and incremental investments needed to support delivery capacity for the recent spike in new RPO awards, Futurestep maintains strong earnings and profitability in the third quarter. Futurestep's EBITDA in the third quarter was $7.4 million, with a margin of 13.9%. I'll now turn the call back over to Bob to discuss our outlook for the fourth quarter of FY '17. 
Bob Rozek: Thanks Gregg. As previously discussed, new business activity in the third quarter was seasonally slower, but we exited the quarter strong in January, especially for the North American search segment. Globally, our new business and executive search for February was flat year-over-year. And following historical patterns, executive search new business activity in both March and April is expected to be seasonally strong. For the Hay Group, the fiscal fourth quarter is also typically a seasonally strong quarter, with greater new business awards and more time with clients to deliver the backlog of open assignments. With regards to Futurestep, as previously discussed, new business trends in the third quarter remain strong and we continue to see a strong pipeline of new opportunities in the fourth quarter. Assuming worldwide economic conditions, financial markets and foreign-exchange rates remain steady, we expect our consolidated fee revenue in the fourth quarter to range from $398 million to $412 million and our consolidated adjusted diluted earnings-per-share to range from $0.57 to $0.63. And finally, after a full year of work, our integration activities related to the Hay Group acquisition are substantially complete. Except for the co-location of some international offices, three of which are scheduled to be completed during the fourth quarter at a restructuring cost of approximately $6.5 million to $7.5 million dollars. Also in connection with the last stage of our financial and operational systems conversion, we anticipate spending additional professional fees in the fourth quarter of approximately $1.5 million to $2 million. And then consistent with prior quarters, included in the integration and acquisition cost are about $3 million of ongoing Hay Group acquisition related retention bonuses. When you include these costs, we estimate that the FY '17 fourth quarter fully diluted earnings per share measured by U.S. GAAP will likely be in the range of $0.41 to $0.49. So that concludes our prepared remarks and we would be glad to answer any questions you may have. 
Operator: [Operator Instructions]. Our first question comes from the line of George Tong, Piper Jaffray. 
George Tong: You had indicated with the Hay Group new business trends over the past three months are up about 7% to 9%. Is this the level of growth on the near and intermediate basis you think is sustainable and can you remind us what you're longer term view on growth for the Hay Group is?
Gary Burnison: There is to aspects to that business. There is a consulting business and there is a products business. The products business we would expect to have higher growth in those numbers. In the consulting business would be lower growth. The long term growth for the combined business I've had it as an aspirational goal is 10%. We haven't done 10%, but it's certainly is good to see that the level of new business over the last two to three months is up over the prior-year. 
George Tong: Can you elaborate on some of the examples of cross-selling and synergies on the revenue side that you're seeing between Hay Group and the other pieces of the business? 
Gary Burnison: We've seen about over 1000 actually joint activity between the business lines and they range from life sciences companies to financial services companies. The great thing about the firm that we're building is there's real organic connectivity in the things that we do. So, whether it's executing strategy, designing an organizational structure, picking the kind of leaders to lead that business, finding knowledge workers, doing rewards and benefits it's all -- it's all want lumped together so we're doing some cool things in the healthcare now healthcare area around value-based care and physician alignment. That is really helping to define healthcare companies defined and operating model and governance structures they deal with value-based care. 
Bob Rozek: The other thing George, this is Bob. I would also say that if you look at the number of individuals who participate in our quarterly referral program where we pay [indiscernible] before the Hay Group transaction we were somewhere around 220 partners a quarter. We're participating in that program and since the Hay Group has come on board now we're just north of 300 at this point. So we've seen a substantial growth in the number of individuals participating in that program. 
George Tong: And then lastly, just turning to the North American search business it's still seeing some pressure on the near term basis. Can you elaborate on some of the headwinds that you're seeing you called out a couple of verticals, are there any structural issues that you think you might need to overcome or is this more of a cycle element that you think will come to pass. 
George Tong: Well there is certainly no structural elements with our business. We could certainly our financial services business we could certainly increase our waiting that something structural that we have a choice about and we should probably do something about that. The technology component for us too is a little bit smaller than I would like. So I think those two areas maybe we need to be more purposeful about. We're investing the number of consultants is up pretty substantially which I'm sure Gregg has given you the numbers for that. You recall that last fall, there was a lot of uncertainty going into the election and what we saw was a kind of down later in the new business in North America. And, it really, it's started kind of mid-October and then there was a down later. There was a little bit of a rebound a bit in November but then December as you would expect was down, so we're happy to say that we've seen in January, February, that that level has increased from the fall and in fact it's rebounded to prior-year levels. So that's very good. In terms of headwinds, tailwinds, it's good to see that energy is coming back that's a pretty good piece of our portfolio. So we've seen an uptick there and we've also seen an uptick in financial services. So that would be the kind of microtrends. 
Operator: Next question comes from the line of Tim McHugh with William Blair. Please go ahead.
Tim McHugh: Future step I'm am sorry if you gave this but can you just talk about the difference between the RPO growth part of that business versus the rest, I don't know if I just missed it if you gave it already but how much faster is the RPO piece growing than kind of the markets piece that you call it?
Bob Rozek: The RPO is growing a little bit faster than the search one of the things we saw in the quarter was the projects component of search dropped a little bit than what we have been experiencing but the RPO is going upwards of probably 15%, 20% single search is probably in 10% to 15% range. 
Tim McHugh: Okay. And the hiring, Gary is that assigned that you've made the decision strategically there are some areas you feel you need to be bigger in like financial services or do you feel better about the economy and the willingness to invest at this point? And given that kind of the cycle view if you will?
Gary Burnison: I think regardless of whether the economy we absolutely have to create an organization that looks to scale -- that looks to have impact in the world, that looks to be $1 billion, $2 billion bigger. We have to you have an organization that can grow from within where we're developing people along the way. In the meantime, we're also -- we're not only laying the plans and the groundwork for that kind of core mobility and talent development we have to go to the outside and so we have been very aggressive in bringing in talent across the entire business. That can help us broaden the conversation, that can help us elevate the conversation with client's. So that is something we would be doing really regardless of the economic climate right now given where we're with our business. 
Tim McHugh: Okay. I guess and do you have enough room given where margins are to be as aggressive as you want with that or is that an inhibitor at all if you want to step on the accelerator? 
Gary Burnison: Look, we have been stepping on the accelerator and you can see that we're paying as you go. We're not going to bring the plane down to 18,000 feet. So, I don't see that. I mean obviously, we're doing this within a band of reason, right and we will continue to run that game plan. 
Bob Rozek: I think Tim if you look at our guidance for the fourth quarter, in order to get to those numbers, you won't see any significant deterioration in the margins. 
Operator: Our next questioner comes from the line of Tobey Sommer with Suntrust. Please go ahead.
Tobey Sommer: To start out with executive search if I could. What are you hearing from multinationals on the search side, they kind of sounded based on your comments on recent trends in North America that animal spirits are a little more evident. Thanks. 
Gary Burnison: Well, look, you've got certainly with an equity market that's at an all-time high, you have CEO confidence that probably goes hand-in-hand with that. But, I think there has been more intent but kind of less action so I can't say that the CEO confidence has really translated into something we can put our fingers on. With multinational companies, it continues to be what we've seen for example in China is there's a big desire on the part of that economy to go to privately owned and locally-based companies. I think multinationals are struggling with that. I think that people are wondering about the voting in France and what that means. And we still haven't seen really you know anything with regard to Brexit and so those are the three or four things that are on CEO's minds.
Bob Rozek: I would say if you look at the new business activity in North American search, in the quarter November was down year-over-year, December was down year-over-year, and January came along back for us to the point where we ended the quarter flat year-over-year. So we saw a really strong January and February is strong for us for as well.
Tobey Sommer: And what kind of -- Gary, you talked about several areas I think, many them you talked about doubling maybe in the product business eventually tripling. Are all of the segments on the gross trajectory today as we speak or are those more long term comments? 
Gary Burnison: No, look, when you really look at our Hay Group business, it's essentially flat. So that's kind of you know, that's the reality. But the other reality is look, we're only 14 months into this and we had to go through and we've combined 100 offices, we have combined systems and I could go on and on. We ask a lot of talented people to leave the company. So there's a phase of this that's really tough stuff, but when I speak to, 2X, that’s certainly not next quarter but that kind of opportunity is certainly there and that's you know how we are trying to orient this firm and develop talent and bring in talent and go to market and all that. So, no, we're not at all you know, on that kind of pace but that's where we have to be headed.
Tobey Sommer: Okay. Can I get your thoughts about revenue generating headcount growth and you can answer the question however you would like to whether it's search consultants or across segments just trying to get a sense for how you're managing to your own internal hiring to build towards aspirational growth metrics. 
Gary Burnison: Yes, we're. We're bringing in consultants across in a pretty broad fashion across the three business lines. We certainly have a greater interest in financial services and technology on the search side given our footprint as you know, our industrial business is spectacular, it's 30% of the firm. In the Hay Group business, we're bringing people in you know essentially three to five big areas. One with the people that can do org design and strategy execution, that would be number one. Number two would be people who can do leadership development. Number three, it would be people that can do rewards and benefits. So, those three areas in our Hay Group consulting business are certainly areas of focus for us and again, we have to overtime shift the orientation of this company so that we're in the emergency room business but we're in the business outcome business so we have to move the focus from geographies and lines of business to solutions in business outcomes and so we have to bring in people that have that solution capability. We have to bring in people that have account management kinds of skills. We have to bring in people that have solution architect. We have to bring in people that can compete in the boardroom and not just compete in the sense of future step or search but in the sense of enterprise wide solutions. 
Tobey Sommer: Just a couple of numerical questions if I could. Bob, should cash flow normalize even further as we get past this fiscal Q4 of 2017, sort of cash flow conversion down to free cash and could you did us a sense for the tax rate and CapEx as we look into picture. 
Bob Rozek: Sure. Let me take the first question on the cash flow. It will normalize Tobey as we exit this year. We've got all of the integration structuring type activities, it will essentially be behind us. We have three more offices to deal in terms of the co-location and those will happen, two will happen in Q1 next year and one will happen in Q2 and so that will be it but the one is will be more of a non-cash charge. So we would expect our conversion ratio to be somewhere in the 70% to 75% of EBITDA. The tax rate right now we're looking at how an effective rate for this year of about 28%. We're starting to see as we talked when we first did the Hay Group transaction, bringing so much more of our operations outside of the U.S. where the rates are lower that we would see some downward pressure on the rate and I think you're seeing that in the rate that we have in place today. I'm sorry, Greg, reminded me of CapEx. CapEx, I would think that that would normalize down to a number that's in the $21 million to $23 million range. 
Operator: Our next question comes from the line of Mark Marcon with Robert W. Baird. Please go ahead.
Mark Marcon: Gary, you talked about the strategic initiatives. I'm wondering you know, should we anticipate any charges in terms of aligning the business in order to go after the five areas and secondly, you went through three distinct areas in terms of where you are recruiting aggressively in terms of org design and strategy, leadership development, rewards and benefits. Can you just discuss a little bit about the types of people that you're bringing in, the levels of seniority, whether there's any guarantees, how we would think about that in terms of the investment that still to come. 
Gary Burnison: Yes, I would think about the investment exactly as we have operated the business Mark, over the last several years. There is nothing that is well, these guys are committing to things. That is not -- we're staying within kind of the operating principles and the commitments that we've made to shareholders. So we're not going outside the operating boundaries. I think we are been pretty smart. You know, those businesses have more leverage than say a search business does which is kind of one of the interesting things about getting into these other markets. So, there are kind of two kinds of people -- let me just step back, Mark. One thing that is interesting since you and I met many years ago, today about 55% of the company is millennials which wasn't the case when we met. So that's changed dramatically and it looks like the workforce looks like the demographic of say a big four, consulting firm look would look. So you've got in terms of the profile of the people will be kind of in two camps. There will be those that are younger in their career, that you would classically think of whether it was investment banking or consulting, that are more professionals, that are really staging their career. So we're bringing those types of people on and as importantly, we're bringing on what would be more senior partner types profiles that have probably been in business for 20 years. They probably are coming out of some global consulting firm generally, they probably have advanced degrees, that would be the profile. 
Mark Marcon: And it sounds like on the Futurestep side, you've got a lot of new wins. Can you talk about when those would layer on and it sounds like we should see a reacceleration with regards to Futurestep's growth rate, am I accurately interpreting the comments?
Gary Burnison: Well, I would certainly think that look we only got a quarter. So the fourth quarter should definitely be better than the third quarter. There's no question about that and that growth rate should look pretty good. You know, what's happening here is that for some of these, there are big, big massive projects sometimes companies you know, delay, they don't get their kind of act together in terms of how fast they want to implement things. The growth rate in that business excluding say for the last quarter or two that was kind of an 18% to 20% number for like 12/4. I don't think that is -- I don't think that's reasonable Mark, to think about I just think that was pretty special. But I would think what you'll see sequentially in the fourth quarter, should be much better than what you saw between sequentially between the second quarter and third quarter which actually went down. 
Mark Marcon: Are the wins coming from clients that have not used RPO before or are they you know basically replacing some incumbent?
Gary Burnison: No. I would say its still primarily new logos and companies that have not done RPO before Mark. I mean there is some where they are taking it out to bid but those are -- I think those are the exception. 
Mark Marcon: And just on the numbers, it sounds like we basically just have 6.5 million to 7.5 million left in terms of the offices that are going to be co-located professional fees of 1 million to 2 million and then we just have four more quarters of the additional $3 million of a group compensation. Is that correct? 
Bob Rozek: Yes, that expires in December of '18. 
Operator: It appears there are no further questions Mr. Burnison. 
Gary Burnison: Okay well listen. I want to thank everybody for joining us. I am confident that we're establishing a new category for people and organizational advisory and redefining core areas of the preeminent global leader in that white space. So, thanks for your time and we will talk to you next time. Bye, bye. 